Erik Engstrom: Good morning, everybody. Thank you for taking the time to join us today. As you may have seen from our press release this morning, we delivered strong financial results in the first half, and we made further operational and strategic progress. Underlying revenue growth was 7%. Underlying adjusted operating profit growth was 9%. Adjusted earnings per share growth was 10% at constant currency, and we have announced a 7% increase in the pound sterling interim dividend. Group underlying revenue growth of 7% was in line with full year 2024, but with a higher quality growth profile. Risk with continued strong growth, STM with continued good growth and developing momentum, Legal with a further step-up in growth and Exhibitions now established at strong ongoing growth. On this chart, you can see the first half growth rate for each business area as well as the relative sizes of the segments within each of them. You can also see that we're showing print and print-related revenue separately here. I'll come back to that later. In Risk, underlying revenue growth was 8%, in line with full year 2024 and underlying adjusted operating profit growth was 9%. Strong growth continues to be driven across segments by the development and rollout of higher value-add, deeply embedded AI- enabled analytics and decision tools with over 90% of divisional revenues coming from machine-to-machine interactions. Business Services continues to be driven by financial crime compliance and digital fraud and identity solutions and strong new sales. Insurance continues to be driven by further expansion of solution sets, positive market factors and strong new sales. For the full year, we expect continued strong underlying revenue growth with underlying adjusted operating profit growth slightly exceeding underlying revenue growth. In STM, now excluding print and print related, underlying revenue growth was 5%, in line with full year 2024, but with developing momentum supported by the increasing pace of new product introductions and renewals and new sales ahead of prior year across segments. Underlying adjusted operating profit growth was 7%. Data business and tools growth continues to be driven by higher value-add analytics and decision tools. Generative AI capability is now being extended across the majority of the revenue base. Primary research continues to be driven by very strong volume growth with article submissions growing by over 20% and articles published growing by 10%. During the first half, we launched ScienceDirect AI, adding generative AI to our primary research platform. For the full year, we expect continued good underlying revenue growth with underlying adjusted operating profit growth slightly exceeding underlying revenue growth. In Legal, also now excluding print and print related, underlying revenue growth improved further to 9%, driven by the continued shift in business mix towards higher growth, higher-value legal analytics. Underlying adjusted operating profit growth was ahead of underlying revenue growth at 11% as we continue to manage cost growth below revenue growth. Lexis+ AI, our integrated platform leveraging generative AI has continued on its successful growth trajectory in the U.S. and international markets. Protégé, our next- generation AI legal assistant, which was launched earlier this year, is progressing well and is being expanded across products and geographies. For the full year, we expect continued strong underlying revenue growth with underlying adjusted operating profit growth exceeding underlying revenue growth. Exhibitions delivered underlying revenue growth of 8% with strong ongoing growth now established above pre-pandemic levels. Underlying adjusted operating profit growth of 9% was ahead of underlying revenue growth with margins now significantly above pre-pandemic levels. We continue to make good progress with our growing range of value-enhancing digital tools. For the full year, we expect continued strong underlying revenue growth with an improvement in adjusted operating margin over the prior full year. Over the past 25 years, one of our key strategic themes was the print to electronic format transition. Over that period, print has gone from 64% of our revenue to 4%, and we believe that this strategic transition is now behind us. We'll continue to provide print versions of our content as a service to those customers who still prefer to receive our content in this format. But we're now managing and reporting our remaining print separately, focusing only on customer service and value. We believe that this removes the management distraction and improves transparency. Our strategic direction is unchanged. Our improving long-term growth trajectory continues to be driven by the ongoing shift in business mix towards higher growth analytics and decision tools that deliver enhanced value to our customers. Our growth objectives remain for Risk to sustain strong long-term growth in the current range, for STM and Legal to continue on their improving growth trajectories and for Exhibitions, to sustain strong long-term growth at the newly established level. When combined with our strategy of driving continuous process innovation to manage cost growth below revenue growth, the result is a higher growth profile with improving returns. I will now hand over to Nick Luff, our CFO, who will talk you through our results in more detail. I'll be back afterwards for a quick wrap-up and Q&A.
Nicholas Lawrence Luff: Thank you, Erik. Good morning, everyone. Let me start by providing more detail on the group financials. As Erik said, underlying revenue growth was 7% with underlying adjusted operating profit growth ahead of that at 9%. As a result, the adjusted operating margin improved to 34.8%. The strong operating results flowed through to adjusted earnings per share, which at constant currency increased by 10%. Cash conversion was also very strong at 100%, and leverage was 2.2x, up from the year-end, reflecting the first half bias of dividend payments and the buyback. Given the strong financial performance, we are increasing the interim dividend by 7% to 19.5p per share. We spent GBP 262 million on 3 acquisitions in the first half, and we deployed GBP 1 billion after the planned GBP 1.5 billion for share buybacks for this year. Looking at revenue, you can see here how all 4 business areas contributed to the overall 7% underlying growth. As you've heard from Erik, we are now managing the distribution of print versions of our content separately. Consistent with this, we have separated out the reporting of print and print-related revenues and profits, as you see here. Prior period revenue and profit splits have been restated, and you'll find reconciliations to the prior half year and full year numbers in the press release. We've been proactively reducing our involvement in all print-related activities for many years, and we've stepped this up in the past 18 months through outsourcing, joint ventures and targeted asset disposals. As a result of these actions, we reduced our remaining exposure to print by another step in the first half of 2025. Total group revenue growth at constant currency was 4%. After portfolio effects in Risk, Legal and Exhibitions and after the step- down in print exposure that I just mentioned. In addition, there were cycling and timing effects in Exhibitions with 2025 being odd and hence, a cycling out year. In sterling, total revenue growth was 2%, impacted by the comparative strength of sterling against the U.S. dollar relative to H1 last year. Here, you can see the 9% underlying growth in group adjusted operating profit. We continue to manage cost growth below revenue growth in each business area. As a result, all 4 delivered underlying growth in AOP ahead of underlying revenue growth. The profit contribution from print and print-related activities declined in the first half, but at a lower rate than in revenues. Going forward, we expect profit from print and print-related activities to continue to decline in the high single digits each year, in line with historical trends. Revenue could sometimes come down in larger steps depending on the actions we take, such as outsourcing and joint ventures where a partner would record the revenue, but we would retain the majority of the associated profit. Total AOP growth in constant currency after portfolio changes and the impact of print and print related was 7%. There was a similar currency effect on profit as on revenue, giving AOP growth in sterling of 4%. With profit growth ahead of revenue growth, margins improved across the board, driving the overall improvement of 70 basis points to 34.8%. Margins are up by 30 and 40 basis points, respectively, in STM and Legal and up by 50 basis points in Risk, where there was also a benefit from portfolio effects. Exhibitions margins saw a further significant improvement, helped by prior year disposals with the 40.3% for this period, also reflecting the normal bias to higher margins in the first half of the year. Print and print-related margins are not meaningful given the dynamics of outsourcing and joint venture revenue and profit recognition that I mentioned earlier. Turning to the group adjusted income statement. You can again see the underlying growth of 7% in revenue and 9% in operating profit. The interest expense was largely unchanged with the same average effective interest rate of 4.1%, resulting in profit before tax up 7% at constant currency. The effective tax rate in the first half was 22.5%, in line with the prior full year. Net profit was up 8% at constant currency and up 5% in sterling to just under GBP 1.2 billion. With a lower share count as a result of the share buyback program, adjusted earnings per share were up 10% at constant currency and up 7% in sterling to 63.5p. Turning to cash flow. Cash conversion was again very strong at 100%. EBITDA was GBP 1.9 billion, and CapEx was just over GBP 250 million, equating to 5% of revenue. After interest and tax, total free cash flow for the first half was over GBP 1.1 billion. And here's how we deployed that free cash flow. In the first half, we completed 3 small acquisitions for total consideration of GBP 262 million and 2 small disposals. The acquisition of IDVerse, an ID document verification platform for business services in Risk was announced in December, completed in the first quarter of this year. Dividend payments in the first half at GBP 124 million being last year's final dividend. As I said earlier, in the first half, we completed GBP 1 billion of the 2025 share buyback program. We deployed a further GBP 75 million on the buyback already in July. That leaves GBP 425 million of the program to be completed in the remainder of the year. Net debt at 30 June 2025 was just under GBP 7.5 billion. Including pensions, the ratio of net debt to EBITDA calculated in U.S. dollars was 2.2x, close to the middle of our typical range of 2 to 2.5x. With that, I will hand you back to Erik.
Erik Engstrom: Thank you, Nick. Just to summarize what we have covered this morning. In the first half, we delivered strong financial results, and we made further operational and strategic progress. We continue to see positive momentum across the group, and we expect another year of strong underlying growth in revenue and adjusted operating profit as well as strong growth in adjusted earnings per share on a constant currency basis. With that, I think we're ready to go to questions.
Operator: [Operator Instructions] Your first question today comes from Adam Berlin from UBS.
Adam Ian Berlin: I've got three, if that's okay. My first question is there's been a lot of press around the U.S. changes and the National Institute of Health, in particular, over the last few months. And people have been focused on the negative of that. But I wanted to ask a more positive question, which is on the 1st of July, the NIH changed their open access policy. So any research they fund has to be published open access, and they were willing to fund APCs in order to make that a reality. And they're the first U.S. funding body to do this. Have you seen through July any additional revenues from APCs as that policy changed? And can that be a positive source of momentum in STM? That's my first question. The second question is also over the last few months, you made the decision to partner with Harvey in the Legal side to let them access your legal databases. Can you talk a little bit about the rationale for that decision and what you're hoping to achieve through that partnership? And then thirdly, you noted the better free cash flow conversion, which was, I think, related to a better working capital in the first half than last year. Is that connected at all with the change in the print segmentation? Or is that just a one-off effect and there's no kind of structural change to working capital and cash flow conversion?
Erik Engstrom: Okay. I'm going to hand the third one to Nick, but let me start with the first two. As you know, we've been in this primary research publishing business, parts of our company, for over 200 years. And we've seen many changes in policies and announcement from different bodies around the world, and we will continue to see them going forward. When it comes to how the research publication model is funded and how people pay for it, we are here to be a service provider, and we're perfectly happy to provide any of our services and any payment model that our customers would like. And in this case, like most other changes, any one institution, any one location changing it slightly is not likely to have any impact on the trajectory that we are seeing. I mean we are seeing very strong article submissions across the board in Elsevier at the moment. We're continuing to see strong new sales and strong renewals. And I think this business has very positive momentum, but I don't think it's directly related to any one of these announcements of the one you mentioned being one. On the second question on our partnership with Harvey. The way we see everything we do in this company is tying it back to our #1 strategic objective, which is the organic development of increasingly sophisticated analytics and decision tools that add more value to our customers. That's what we try to do. But the main focus is on the issue of value to the customers. So if we see that something we are doing well and organic development we are doing that adds real value to the customer, if we see that the customer can actually get more value from those, if we have a slightly different embedding our distribution partnership with any other provider of services to those customer sets, that's something we would explore and consider. And in this situation, it's clear that Harvey has started to go after certain types of use cases in legal environment that is where we have not traditionally been focused and that those use cases would benefit from having a fairly seamless interaction with our tools when you're operating in those tools. So that's why we thought if this can add value to the customer and that puts us in a place that would add value that make it more seamless to interact with our tools, that would be a good thing for us to explore and to try to partner just like we do with other types of technology providers in other areas. That's what we're trying to do. If you ask them, which you can do directly, but I assume that they would say that they have a lot of tools, but it's very important that their users can actually anchor their outcomes or their results into true and trusted and verified content that can be cited and attached and so on, which is where our traditional strength comes. And also, we have a multitude of use cases that relate to the accuracy, the quality of the content and the history we have of serving many tens of thousands of law firms in doing that on a daily basis for decades. So we believe it adds value for the customer, first and foremost. We think it's a good thing for us to explore, and we think it's a good thing for our partner to explore. I'll hand the third one to Nick.
Nicholas Lawrence Luff: Yes, Adam, no material impact from what we're doing with print or print related as far as working capital is concerned. As you say, the cash conversion in the first half was strong at 100% in the high 90s is perhaps more normal, but it's just because of the exact timing of receipts and payments around the 30th of June. It's just the normal ebbs and flows.
Operator: Your next question comes from George Webb from Morgan Stanley.
George W Webb: I have three, please, and a couple of semi follow-ups to that. Just back on to the Harvey topic and digging into one of the parts there to the extent you can. As part of that announcement, there was a note that you'd kind of co-collaborate on some new workflow tools together. Could you kind of help us understand how you think about monetizing co-created products with someone like Harvey? Whose platform would that sit on? Would that sit within Lexis+ AI or Harvey? I wasn't too clear on that. Secondly, just given the resegmentation of print, could you add any color as to whether the magnitude of the print decline was similar across both STM and Legal? Or was one materially larger than the other? And then just lastly, with regards to where you're selling solutions to the U.S. government or the agencies across the entire business, whether that's Risk or subscriptions in STM and Legal. Have you seen anything notable in the first half in terms of shifting demand patterns? Or has that all been quite consistent with last year?
Erik Engstrom: Again, I'll take the first, and then I'll hand the second over to Nick here. On Harvey, we are going to explore many different ways to figure out how to add value to our customers. And as you might already know, we have hundreds of different specific use cases that we're developing today organically. We picked a couple to work collaboratively as a pilot to see how we could do it if we work together. The concept is that we would share in it, we work in it, we come up with the best technological way to do it as we go along and see how that works for us and for them relative to all the other hundreds of use cases that we are working on. So I would see it pretty much as exploring a pilot way of co-developing solutions for specific use cases. And we will see how that goes and how we can do that going forward if we can then form a model. We're not trying to now declare the answer or declare a model, but we're exploring this in a couple of very specific use cases that we think we can both bring knowledge to add value to the customer. And a second one...
Nicholas Lawrence Luff: Yes. So George, I mean, it is both STM and Legal seeing the reduction of the step down in print. I think for this particular period, the proactive steps we've taken perhaps have a little bit more effect in STM than Legal, but I mean, it is across both of them. And of course, our focus is really on the retention of the profit, you can expect that to decline, as I said earlier, over time as print declines, but the revenue could step down more quickly as we take these proactive steps, but it is across both.
Erik Engstrom: And on government, as I think we all know, there is a lot of media coverage coming about government initiatives or changes or potential changes in U.S. federal spending and initiatives. For us, what actually has happened on the ground has not been materially different so far this year from previous years. That might change, of course. But at the moment, your question was, have we seen it? Has it happened in the first half? No, it's been very similar.
George W Webb: That's really helpful. Can I just ask one final question just on the Exhibitions margin. It was clearly very strong in the first half, and I think the release called out a little bit of seasonality. Just when we think to the full year margin, is there any guidance you can give around either how you'd expect the cost base to be growing year-over-year or with regards to maybe potential like rough magnitude of margin expansion? Anything around that would be quite helpful.
Nicholas Lawrence Luff: Yes, George, you're absolutely right. The full year margins in Exhibitions are typically anything up to 5 points lower than for the first half, and that is just the seasonality. So for the full year, we would expect a decent improvement in margin, perhaps not quite as much as we had in the first half, but there'll still be benefit from those disposals as well as the underlying performance. So something of a similar order of magnitude.
Operator: Your next question comes from Lisa Yang from Goldman Sachs.
Lisa Yang: I have a few questions as well. Just in Legal, obviously, we saw the improving momentum step-up in growth versus last year. Do you think now with printing being carved out, we could see a further acceleration to potentially 10% by the end of the year? Could that be possible? And could you also give us a bit more detail in Legal, so the share of revenue now coming from analytics and how that has improved versus last year? And what's the percentage of customers when the contracts up for renewal, what percentage of their customers actually now upgrade to analytics, thanks to obviously the new AI products? That's the first question for Legal. In STM as well, obviously, you mentioned developing the growth momentum in that division. Similar question, do you think we could see an acceleration towards that 6% potentially by the end of the year? And what's the actual level of uptake of AI products amongst your customers? I appreciate it's still early days. And the third one, just on Exhibitions. So you mentioned Exhibitions established as sort of -- that's a new level. Is that 8% basically a new level of growth we should be expecting going forward? Because it does look like you mentioned this is -- it sounds like it's a new level. So just wanted to confirm that. And how much of that is pricing versus volume? Anything you can share in terms of change of latest demand, rebooking trends or booking? Any additional color would be helpful.
Erik Engstrom: Yes, I'll cover the first two, and then I hand the third over to Nick again. Legal, the growth rate, as you said, has now accelerated again and took another step up to 9% on the new basis, which is the real ongoing basis going forward. And you're asking, is this likely to pick up to 10% by the end of the year. The way I would look at it is we have very positive momentum in Legal with new product introductions, with customer reception of those products, with the value add that we can demonstrate and see and with the rollout of those products across the U.S. and internationally. So we are seeing very positive momentum and strong new sales. But you have to remember that Legal is now over 80% subscription and that the average subscription length is 3 years. And even commercially oriented law firms, they look at it seriously, they consider it and they try it. So I think that the momentum we have will continue to come through. It's their objective to continue to increase their growth rate over the next few years. And their objective is to continue to do that, continue to add more value and to grow faster, to continue to improve their growth trajectory. I don't believe it's realistic for that to come through this year. We would, of course, hope that it comes through soon, but I'm also not sure that you can expect it to pick up 1 percentage point every year forever. But their objective is to grow faster, unlikely to be this year. Not impossible that we can do it soon thereafter, but their objective is focused on the next few years, not on any 1 year or being able to round up in any one specific year. When it comes to the rollout and the penetration, we said last year, a couple of things that could help you on this is that when we have moved to higher value-add platforms before and we rolled them out, we said that I think Lexis+ reached about 80% penetration after about 4 years. That's sort of the traditional when it was really fully integrated analytics and really high value add. We said that Lexis+ AI is on a very, very similar trend. This is all by contract value that we're talking about. So that -- we were on that rate last year, if not a little bit better once we got going. We're on that rate now. We continue down that path. The penetration we're seeing. New sales, the vast majority are picking the AI integrated platform, the generative AI integrated platform, Lexis+ AI. When it comes to renewals, still the majority of the revenue that's being renewed is going into Lexis+ AI, and that relative proportion, it varies a little bit by month, but the trend is again upwards. And now that we're also seeing the rollout, the early rollout of Protégé, that's likely to then start adding some to that. But it's too early for us to really declare a penetration rate or rollout metrics on that because some of the functionalities in Lexis+ AI and some you do separately. So we can't really give you math on that yet after a few months. You said on pricing, also, we are seeing the uplift. The spend uplift is the way I would look at it because this enables you to use different tools and different use cases so that people want to include those and the spending uplift is similar to what we disclosed in our meetings last year and double-digit uplift. I think that answers your Legal questions. On STM, what you're seeing in STM on the AI tools is that we're seeing very similar value-add opportunity to what we're seeing in Legal, but it is significantly more fragmented and it has longer sales cycles. That means that things are coming through more gradually. It is more fragmented by product and platform, by customer and user type and by geography. So all 3 dimensions is more fragmented. And so that means that, for example, if you take the first introduction we had in Legal, we have Lexis+ AI. If you do that in the U.S., it's about 50% of the division's revenue base. The first product we had in STM, Scopus AI, that covered less than 5% of that division's revenue base, just as an illustration. And because you have the longer sales cycles, you can also see that the penetration curves that you had on the Legal side, they are shaped similarly but take longer. So we got to the sort of the benchmark 20% uptake level in Legal roughly after a year and in Scopus is roughly 18 months. But we see similar type of spend uplifts, double-digit spend uplift in both situations. So that gives you an illustration of the comparison. We believe that in STM over time, the opportunity is significant. We have launched a significant number of tools in the first half -- up until the first half this year. We're continuing to accelerate that. It's going to continue throughout the rest of the year and during next year. And we have expanded the Chief Product Officers from legal role to now ensure that we're running the process the same. We're using the same tools, the same processes, the same technologies in STM as we do in Legal. So the similarities are likely to become greater and not the other way around over the next 2 to 3 years.
Nicholas Lawrence Luff: And Lisa, your last question on Exhibitions. Obviously, we've now had 2 full half years where there's been no distortion from the COVID recovery. And so I think if you look back at those last 12 months and do the math, we've had growth of about 7% to 8% in that period. Obviously, this isn't a subscription business, and so there's going to be a bit more variability, but that's the sort of level -- the ongoing growth level strong that we're referring to. And clearly that's higher than it was pre-pandemic as a business. What's driving that is the value we're providing to customers. Obviously, we're expanding events wherever we can, attracting new exhibitors, doing more for existing exhibitors, including through the digital offerings, and that's what's really driving that growth.
Operator: Your next question comes from Nick Dempsey from Barclays.
Nicholas Michael Edward Dempsey: I have three questions left. So first of all, if we look at the absolute numbers for the new print line, that was down 21%. Can you at least indicate how much of that fall year-on-year related to disposals? I understand that of the rest, we've now got to think about perhaps an underlying amount and then chunks that are going into JVs, and I can see why you want to strip that out of organic. But can you at least say how much related to disposals? Second question, in risk, when you look at the shopping events data that LexisNexis publishes, the comps become a lot tougher from right about here. So will that have a negative impact on the insurance growth in the second half? And if so, do you have other factors in the division that can balance that out? And then the third question, in terms of the potential cost and funding pressures on U.S. universities, I know you won't have started renewal conversations for 2026 probably yet. But have you had any conversations with U.S. universities where they are already suggesting that when they do come to renew, they will have to reduce their spend one way or another?
Nicholas Lawrence Luff: So Nick, I'll take the first one on the print. Clearly, our focus is on the value here and what we need to do with customers in terms of meeting their needs for print products and then value for us, which is all about the profitability. So it's not really about the revenue. And so when we're doing things like outsourcing, it's not a disposal, but that you're going to see times when the revenue steps down in larger steps, and that's certainly true in the first half of this year. But I think if you focus more on the profit and value, which is what we're doing, and that's more representative of the strategy going forward. Yes. I think just -- I mean, I said in the presentation, if you get the normal rate of decline in print that we've had historically, that's high single digit. And if you're modeling the profit, I would certainly look at that. And then the revenue is sometimes the bigger step, but hard to forecast.
Erik Engstrom: And I'll cover the Risk question here. In Risk, the main driver of the long-term strong growth rate in Risk is the development and rollout of new higher value-add products. And as you know, we develop them, we test them, we see that they add value, and then they take typically up to 5 years to fully roll out and become fully installed and used in the marketplace. Therefore, we have pretty high visibility into the main driver of this business is of product pipeline, product development and rollout. Yes, there is some additional factors that come from the marketplace, but the main driver is the higher value-add products and the rollout. At this moment in time, we can see that both the big areas in Risk, Business Services and Insurance, are growing strongly at the core at the current run rate. And their product pipelines are strong and being rolled out strongly. And we're having strong new sales compared to prior year in both of those big areas. Yes, as you said, the shopping patterns last year were high and they were high -- well, they were high for a long time, but they were particularly high in the summer and fall months. That's not directly translating into something that's the main driver of the business. It's a small contributor in terms of positive market factors, but there are also positive market factors such as insurance price changes, policy price changes, cost of claims and so on that impact how insurance companies price and market, which can encourage switching and switching sometimes is correlated to the shopping volume. Sometimes it's not exactly. So we think that the market factors are going to continue to be good, not perhaps not as strong in shopping activity as last year in terms of growth rate, but it's still growing. It's still higher. And we believe that Risk -- both Insurance and Business Services are going to continue to do very well and continue to grow strongly this year, in line with historical trends. On the STM side, any given year over the last 200 years we've been involved in this, there are always parts of the world where there are institutions that are facing particularly challenging budget situations. And sometimes it's in several places, sometimes it's in some pockets. We don't believe that any one particular year historically has had any significant impact on the outlook or the growth rate for our STM division as a whole. We will always work with our customers. We are in a service business. We will make sure that we figure out a way for them to get the value that they would like to have from us within their actual budget constraints, the way they will turn out to be in any one year. But it hasn't historically impacted the rate of growth in that division in any significant way, and we don't expect that, that will be the case this time either.
Operator: [Operator Instructions] Your next question comes from Henry Hayden with Rothschild & Co Redburn.
Henry Hayden: Three questions, if I may. So the first is in Legal. I was curious as to what you're hearing from clients in terms of the state of demand. I mean, from where we sit, demand growth in legal industry seems to have been strong into the end of the year and particularly through H1. But wondering if you're picking up on more caution around that being tariff-related pull forward or if there's an expectation of that tempering. The second question is on Exhibitions. I was hoping you could offer some color on the incremental growth and margin contribution as you kind of increasingly ramp up the digital tools mix in the business? And how should we think about the adoption curve for those? And then finally, on the balance sheet, I was wondering how you're thinking about leverage vis-a-vis future M&A? Are you open to larger transactions at this stage given capacity? Or are you focusing on bolt-ons? And in the event of the former, would you be willing to go above the top end of that target leverage range kind of as you did with ChoicePoint in 2008? .
Erik Engstrom: I'll cover the first, and I'll hand -- ask Nick to cover the next two here. I think your comments about what you're hearing on the legal industry are probably accurate. But given what is going on for us today in the legal industry, which is the significant value-add opportunity that we see to help our customers differently and the excitement we're seeing from our customer base about that new opportunity, we are focusing all our energy on how we can add more value to our customers through the new tools, the rollout of those, the new development of those, the development of additional use cases and doing them faster that I believe that value uplift that we can give our customers is so much more important for us as a service provider than any actual movement in the rate of growth in the industry itself. So that's where we are focused now. And I believe that you're going to continue to see increased penetration and increased take-up of these new higher value-add tools and platforms from us regardless of what happens to the exact trends in the industry itself.
Nicholas Lawrence Luff: And Henry, your question on Exhibitions growth, it's obviously coming from the overall value that we're offering to clients and expanding the event portfolio, doing more for the -- attracting new exhibitors and doing more for the existing ones. The digital offerings are very much part of that and they're very much part of the overall value that we're adding -- increasing all the time. They're not always priced separately. I mean they're part of the overall -- it's part of what is attracting exhibitors to come back and renew or take more space and so on. So it's hard to separate out, but it's obviously an important part of the overall growth dynamic. And your final question on leverage and acquisition. As you know, our primary focus is on the organic development of the business, and there's lots and lots of opportunities in front of us and you can -- we're talking about today that we're going after. We will make acquisitions where we see that they can enhance and accelerate the organic development. They do need to fit with what we're doing and fit in with that organic development, but we will make those. Obviously, what comes up in any one particular period can vary and it is a variable in our overall cash flows. But the leverage range is designed to accommodate that. So 2 to 2.5x is our typical range. We can sometimes go below that if acquisitions are limited for a period. We could go above that, of course, and quickly get it back in range because of the high cash generation. And so if it were to happen that 2 or 3 larger acquisitions [indiscernible] in one period, we've got plenty of room to do that. But the primary focus, I'd say, is on the organic development.
Operator: Your next question comes from Steve Liechti from Deutsche Bank.
Steven Craig Thomas Liechti: I've got three as well, please, sorry. Just first one, event forward booking trends in Exhibitions. Just obviously what's going on in the world right now. Any changes that you're seeing by region or kind of vertical that you can call out? That's the first question. The second two questions, just checking my math. So on your group like-for-like, it's 7% on an ex print basis. If I take the delta in print, which is sort of the difference between the 2 first half figures, that's GBP 50 million of fall. And if I do that as a percentage of last year's revenue, that's 1 percentage point. So my question really is, why is your group like-for-like on the new basis, not 8%? Why is it 7%? And then the second question, just on Legal and Academic specifically like-for-likes, what would those like-for-likes have been on the old basis? I'm getting about just trying to work backwards about 1 percentage point. Is that about the right call for those 2 figures?
Erik Engstrom: I'm going to ask Nick to cover all of those.
Nicholas Lawrence Luff: So Steve, the Exhibitions forward bookings, as you say, obviously, it varies between sectors and between geographies, but we've got a diverse portfolio, and I don't think there's anything in particular I'd call out. We're trending similarly. So I wouldn't pick out anything for you. The business is in good shape, and it's all about the value we're providing and what we're doing rather than worrying too much about the overall economic dynamics. Your question on the impact of print and the 7%, et cetera. Remember that the first half drop in revenue is -- I mean, it's partly a little bit of currency, of course. It's also disposals. It would not have all been in underlying, which is why we say that the -- if we had managed the group -- reported and managed the group on the same basis as last year, then the group total would have been 7%, including print, and it's obviously 7% excluding print, as you can see from these actual numbers. If you do that same logic for STM and Legal specifically, if we manage and reported on the same basis, as last time, which I think aligns with your math, STM would have been 4% in this period, in line with full year 2024. Legal would have been 8%. So we have seen the step-up from that to the 9%. So on a like-for-like basis, that's effectively a 1-point improvement in Legal and obviously, 2 points on the reported basis. But yes. Your math is pretty good.
Operator: That does conclude our question-and-answer session. I'd now like to turn the conference back over for any closing remarks.
Erik Engstrom: Well, thank you for taking the time to join us this morning. I look forward to talking to you again soon. Thank you.